Operator: Good day, everyone, and welcome to the RBB Bancorp Earnings Conference Call for the First Quarter 2021. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Catherine Wei. Thank you. Please go ahead.
Catherine Wei: Thank you. Good day, everyone, and thank you for joining us to discuss RBB Bancorp's financial results for the first quarter of 2021. With me today from management are Chairman, President and CEO, Alan Thian; EVP and Chief Financial Officer, David Morris. Management will provide a brief summary of the results, which can be found in the earnings press release that is available on our Investor Relations website, and then we'll open up the call to your questions. During this conference call, statements made by management may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon specific assumptions that may or may not prove correct. Forward-looking statements are also subject to known and unknown risks and uncertainties and other factors relating to RBB Bancorp's operations and business environment, all of which are difficult to predict and many of which are beyond the control of the company. For a detailed discussion of these risks and uncertainties, please refer to the required documents the company has filed with the SEC. If any of these uncertainties materialize, or any these assumptions prove incorrect, RBB Bancorp's results could differ materially from its expectations as set forth in these statements. The company assumes no obligation to update such forward-looking statements unless required by law. Now I'd like to turn the call over to Alan Thian. Alan?
Alan Thian: Thank you, Catherine. Good day, everyone, and thank you for joining us today. We started 2021 with excellent first quarter results as our differentiated business model benefited from the rapidly improving economy. We reported record net income, improving margins, stable credit quality and strong growth in non-interest-bearing deposits. First quarter earnings benefited from further improvement in our net interest margin and an increase in revenue related to loan sales. First quarter net interest expenses were moderately higher than fourth quarter expenses due to mortgage commissions and tax pay on compensation. As expected, we had limited loan growth in the first quarter, but still expect to have healthy growth for the remainder of the year. We raised $120 million of subordinated debt, which increases our ability to pursue profitable, organic and strategic growth opportunities. We believe we are well positioned to accelerate our profitable growth in 2021 by providing exceptional customer service to the individuals, businesses and communities that we serve. Given the bank’s record net income and our outlook on the future, our Board of Directors increased the dividend by 8% to $0.13 per share and renewed the share repurchase program. With that, I’ll turn the call over to David to discuss some of the quarter’s financial highlights before opening up the call for questions. David?
David Morris: Thank you, Alan. I'll start by reviewing some of the highlights of our income statement before moving on to our balance sheet. Net income grew 12% from last quarter and 85% from a year earlier to a record $12.5 million or $0.63 per diluted share in the first quarter. We reported record pre-tax, pre-provision income of $19.6 million, which was up slightly from last quarter’s $18.9 million. Our net income benefited from several factors. First net interest income increased $2.1 million due to stable interest income, improvements in our cost of deposits and a decrease in provision for loan losses. Second, noninterest income increased by about $1.4 million as loan sales continue to increase mainly in the Fannie Mae qualified market. We continue to be cautiously optimistic that loan sales will continue at a similar pace in the second quarter. Net interest margin was 3.73% for the first quarter, an increase from 3.67% in the fourth quarter of 2020 and up from 3.37% a year prior. As we continue to increase our noninterest bearing deposits and drive down the cost of our interest bearing deposits while holding the yield of our loans portfolio stable. Loans held for investments totaled $2.7 billion as of March 31, increasing $8.4 million from December 31, 2020. We have good growth in commercial real estate, which grew at a 24% annual rate and construction which grew at a 49% annual rate. Our non-QM mortgage originations continued to lag due to the low interest rate environment, which when combined with payoff and the sale of mortgages resulted in a meaningful $83 million decrease in our mortgage loan portfolio. We continue to take action to revitalize the non-QM origination channels, but could face continued headwinds if the rate environment does not improve. Our average yield on earning assets for the quarter was 4.49% down six basis points from the prior quarter of 37 basis points from the prior year. Deposits grew $186 million from the fourth quarter with a $170 million increase in noninterest bearing deposits as our efforts to attract these deposits from our banking clients gained traction. Our average cost of interest bearing deposits for the quarter was 0.73%, which was down 20 basis points from the prior quarter and 99 basis points from the prior year. We expect the cost of our deposits to continue to decline in the second quarter as higher cost CDs, mature and are replaced by lower cost deposits. Near the end of the quarter, we completed $120 million sub-debt offering at a 4% rate, which was used in part to redeem 15 million, 6.5% sub-debt issuance that we had outstanding. We believe the additional low cost capital increases our ability to pursue attractive organic and strategic growth opportunities. Nonperforming assets increased by $400,000 to $20.2 million in the first quarter, decreasing four basis points to 0.55% of total assets. As of April 15, we had 21 loans in deferment totaling about $18 million. We took a provision for credit losses of 1.5 million in the first quarter primarily attributable to remaining COVID-19 related economic risk and loan growth. Our capital levels remain strong with all of our capital ratios well above regulatory minimums. With that we are happy to take your questions. Operator, please open up the call.
Operator: [Operator Instructions] Your first question is from Nick Cucharale of Piper Sandler.
Nick Cucharale: Hi, everyone. How are you?
David Morris: Great, Nick. How about yourself?
Nick Cucharale: I'm doing very well. Thanks. So it looks like you had a similar level of one of core production as the fourth quarter, but sales were certainly a lot higher in the first quarter. Can you give us some color on that decision and strategically how you're thinking about the trade-off between keeping those loans on balance sheet compared to sales?
David Morris: Okay. Right now, $83 million of those sales was Fannie Mae and the rest of those were holdover from the fourth quarter that we already had commitments to sell, okay? So we honored the commitments on them in that side. In the future we expect that Fannie Mae selling will be up a little bit less than the $83 million, but similar. And we see the non-QM dropping off significantly especially coming to the third quarter.
Nick Cucharale: That’s very helpful. And given the sub-debt issuance in the quarter, your capital levels are quite strong as you mentioned. Can you update us on your appetite for M&A in specific geographies that are top of mind?
David Morris: We're very interested in the mergers and acquisitions basically in the San Francisco Bay Area, Texas, Seattle and we would even expand do a merger here in Southern California if the analytics look good.
Nick Cucharale: And then on the NIM, do you feel as though you have some room for further improvement given the liability repricing dynamic you discussed?
David Morris: We will have about $345 million – sorry $286 million reprice in the second quarter, going from CD rate right now low as about 0.99% and going down to 0.4%. The issue is that we have so much cash that is in – that it's very hard to invest into anything that makes any money right at the moment. So I believe you'll see continued cost to fund improvement, but you will see the yield on non-loan investments becoming down because of the amount of cash. So basically I'm saying I see it be about flat without or increasing slightly.
Nick Cucharale: That's very helpful. Thanks for taking my questions.
David Morris: Thank you.
Operator: Your next question is from Kelly Motta with KBW.
Kelly Motta: Hi, thanks for the question. Good morning over there.
David Morris: Hey, Kelly.
Kelly Motta: Hey. Turning to expenses, they were a little bit higher during the quarter with I think mortgage commissions were probably a part of that. Looking ahead, is this kind of a good run rate to go through? Are there any moving pieces that we should keep in mind when looking forward towards the rest of the year?
David Morris: I think our level was a little high for this quarter. It’s typically about $400,000 to $500,000 higher than the rest of the year. So I expect the costs go down.
Kelly Motta: Okay, got it. And then looking at the loan portfolio, you had really good theory, growth has continued to be really strong, can you – as well as construction can you give us, maybe provide what categories are seeing the most demand in and kind of the outlook there?
Alan Thian: Well, this is Alan the – on the construction loan side, I would say that pretty much we see construction – construction growth actually is in Los Angeles as well as in New York. Most of the constructions actually are multifamily units with a mix use where you may have the commercial on the ground floors and then you could have condominium or apartments in the upper floors. And then the ratio of the mixtures normally would be, about 10% as a commercial and 90% are mixed used up, either condo or apartments. And most of the size of the construction projects, property, we are looking at about maybe 10,000 – about 8,000 of residential storefronts. And then maybe between 30 to 50 units on the mixtures of either condos or apartments as we are financing on about 65% loan-to-cost or 60% – 55% to 60% loan-to-value.
Kelly Motta: Great. Thank you. I'll step back.
Operator: [Operator Instructions] Your next question is from Brett Rabatin of Hovde Group.
Brett Rabatin: Hey, good morning, everyone.
Alan Thian: Good morning.
David Morris: Good morning.
Brett Rabatin: Wanted to make sure I understood the dynamic around the fee income going forward well. So you mentioned that the Fannie Mae loans, you saw a little bit less of that going forward, and I know you originated I think it was $37 million or $38 million of SBA loans in 1Q. Is the way to think about the dynamic around those two pieces going forward as SBA probably continues to increase while the sales on the Fannie Mae loans declines? Or can you give us any additional color on how you see those two components interacting going forward?
David Morris: Okay. Right now the big gain in our SBA portfolio was we did round to a PPP. So although our SBA program is going strong right now because of the 90% guarantee, the big growth in the first quarter was mostly PPP loans. Having said that, I think over time you can see residential sales go down and SBA sales go up as SBA department gets more traction in originating regular old 7A loans, okay? That's something that I see and I see Fannie for the foreseeable future, I see the non-QM market being really all about treading water and just replacing what is rolling off, although we did have – we do have some commitments out there to sell this quarter, but not very much. And I see Fannie Mae coming down slightly because of – we cleared out our backlog due to the COVID issues we had last year and we'll just be selling new originations.
Brett Rabatin: Okay. That's helpful color. And then just around provisioning and reserves, it would seem like, I recognize that non-CECL filers are still going to need to maybe keep bolstering reserves a little bit, but it doesn't seem like you're going to have any asset quality issues to speak of. As we think about forward provisioning, I mean, it would seem like it could be even less than it was in 1Q depending on growth, I suppose. But any color around how you think about provisioning going forward?
David Morris: I think you just need to take 1.25 times our growth and that will – I don't still see any additional large losses, plus any losses and that's our provisioning, okay?
Brett Rabatin: Okay.
David Morris: I do think there will be a time when we will recapture the $2.9 million that's out there in the special COVID reserve, but we decided not to do that in the first quarter and see how everything shakes out in the second quarter. But at some point in time, you'll see that coming back to the bank if we don't have losses that go against that, and we don't see any credit quality.
Brett Rabatin: Okay. That's helpful. Thanks for all the color.
David Morris: Okay.
Operator: Your final question is from Andrew Terrell of Stephens.
Andrew Terrell: All right. Hey, good afternoon.
Alan Thian: Good afternoon.
Andrew Terrell: Yes, I just wanted to circle back to the expense base really quickly. David, I appreciate the comments about 1Q typically running about $400,000 or $500,000 higher than kind of the rest of the year. I guess, shouldn't we also see a step down kind of in this next quarter from, I think it was $428,000 data processing expense that you call out in the release, just trying to put a brush on the go-forward expense run rate.
David Morris: Yes. Some of that was – some of that is we are converting off of one system to another and we had to pay some duplicate amounts. So that will be going away, okay, over the next couple of months.
Andrew Terrell: Okay, perfect. I appreciate it. And then just thinking about loan yields, they fell down around this low kind of 5% level over the past couple of quarters or few quarters. I guess just thinking about loan yields, moving forward, what kind of yield are you getting on new originations currently? And as competitive dynamic change more recently, they might put some pressure on kind of new origination yields and portfolio yields going forward?
David Morris: Yes. Okay. On the CRE side and so forth, we are seeing our rates are prime plus 2.5%, 2.75%, depending on what type of loan it is and so forth. So we had that up that's above 5%. When we looking at our multifamily loans, you're talking about a 4.5% start rate, a 5% rate and so forth, unless they're a very good customer, they have a lot of deposits with us, we will make an exception. So where we're seeing really the pressure I think is going to be on the mortgage side, the non-QM mortgages where we place in the runoff, that's a 5% coupon, let's say, a 5.25% coupon with a 4% coupon or a 4.25% coupon. So that's what's creating the pressure in our book right at the moment.
Alan Thian: Yes. Right. So I would say that on the commercial side, commercial real estate, we are looking at about 5% to 5.25%, multifamily we are looking at 4.75% to 5%, and mortgage we are looking at 4.25%. We will not do any loans less than 4%.
Andrew Terrell: Okay. Thanks, Alan, and thanks, David. That's excellent color. And then just last question for me. I saw the dividend and the renewed buyback yesterday morning. Just is it fair to assume you guys are still planning to be active on the buyback going forward, given that announcement?
Alan Thian: Yes.
Andrew Terrell: Okay. Perfect. That's it for me. Thanks for taking my questions.
Alan Thian: Okay.
Operator: There are no further questions in queue. Do you all have any closing remarks?
Alan Thian: No more questions? Okay. Once again, thank you all for joining us today. We look forward to speaking to many of you in the coming days and weeks. Have a nice day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.